Operator: Ladies and gentlemen, thank you for standing by. Welcome to Best Buy's fourth quarter fiscal 2014 earnings conference call. [Operator Instructions] I will now turn the conference call over to Bill Seymour, vice president of investor relations.
Bill Seymour : Good morning, and thank you. Joining me on the call today are Hubert Joly, our president and CEO; and Sharon McCollam, our CAO and CFO. As usual, the media will be participating in this call on a listen-only mode. This morning's conference call must be considered in conjunction with the earnings release that we issued earlier today. They both contain non-GAAP financial measures that exclude the impact of certain business events. These non-GAAP financial measures are provided to facilitate meaningful year-over-year comparisons, but should not be considered superior to or as a substitute for and should be read in conjunction with the GAAP financial measures for the period. A reconciliation of these non-GAAP financial measures to the most directly comparable GAAP financial measures and an explanation of why these non-GAAP financial measures are useful can be found in this morning's earnings release. Today's earnings release and conference call also include forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These statements address the financial condition, results of operations, business initiatives, growth plans, operational investments, and prospects of the company and are subject to risks and uncertainties that could cause actual results to differ materially from such forward-looking statements. Please refer to the company's current earnings release and SEC filings for more information on these risks and uncertainties. The company undertakes no obligation to update or revise any forward-looking statements to reflect events or circumstances that may arise after the date of this call. All information regarding the company’s results pertain to continuing operations, and do not include the impact of the European business, which was sold on June 26, 2013, or mindSHIFT Technologies, which was sold on February 1, 2014. In today’s earnings release and conference call, as we did in our holiday release, we refer to consumer electronics, or CE, industry trends and our market share. Share gain is determined by reference to the information from the NPD Group. The CE industry, as defined by the NPD Group, includes TV, desktop, notebook computers, tablets not including Kindle, digital imaging, and other categories. It does not include mobile phones, gaming, movies, music, appliances, or services. I will now turn the call over to Hubert.
Hubert Joly : Thank you, Bill, and good morning, everyone, and thank you for joining us. In today’s call, we’re going to start with a recap of our fourth quarter results and an overview of the progress we have made against our fiscal 2014 renewable priorities. Then we’ll provide an update on our Renew Blue strategy and our outlook for fiscal 2015. So as we discussed in our holiday sales call, the fourth quarter was an environment of declining retail traffic, intense promotion, fewer holiday shopping days, and severe weather. It was also an environment of weaker than expected industry sales in the consumer electronics category, in an environment of evolving consumer behavior, as the customer’s affinity for online shopping continued to escalate. So what did we do? We focused on the things we can control, without losing sight of what was really important, our customers, and the promises that we make to them. As such, we continued to invest in our price competitiveness, albeit at a cost, and identified our focus on improving our [personal] efficiencies, driving down our costs and lowering our inventories. The net financial result of these efforts was a comparable store sales decline of 1.2% and an operating margin decline of 120 basis points. While of course we cannot be satisfied with a fourth quarter operating margin decline of 120 basis points, the decline included an expected approximately 100 basis point negative impact associated with our mobile warranty and new credit card agreement economics that we called out in our Q3 call. Thus, we were able to materially offset the price investments we have been making with substantial cost savings and other operational improvements. Within these results, though, were mixed outcomes I would like to highlight. First, we gained market share, but as I said, it came at a cost. When we entered the quarter, we knew that pricing would be [unintelligible], and we tried to invest 40 basis points in structural and promotional pricing. To defend our market share and stimulate traffic, we increased our price investment by an estimated 85 basis points to 125 basis points. Make no mistake, though, while we know we have an opportunity to improve the effectiveness of our marketing and promotional activities, this price investment was strategically important. Why? Because it is imperative in our transformation that we retain and attract new customers to our brand. And to do so, we had to live up to our customer promise to be price competitive, and we were. And the customer noticed. In the environment we were operating in, where industry sales and our own store traffic were down, our price investment and improved customer experience allowed us to mitigate our adjusted domestic comparable store sales decline to 0.6%, and improve our [unintelligible] Net Promoter Score by 300 basis points. It also allowed us to aggressively drive our online business, which grew more than 25% in the quarter compared to 11% last year. Additionally during the quarter, the shift to the online channel crystalized for us what we had believed all year, that the pace at which consumers would migrate to the online channel would accelerate in the fourth quarter, and we were prepared. Operationally, virtually every metric that we use to measure the [unintelligible] in the online channel was up in the fourth quarter and our domestic online sales reached 12.7% of total domestic sales, which was 10% last year. But this, too, came at a price, as profitability in the online channel today is lower than retail. Why? Because today, the online channel has a higher mix of lower margin hardware sales and [attach] rates on services and accessories are lower. So while we’re working on our online capabilities to increase attach rates and drive a more profitable sales mix, we expect the improvement to come gradually and incrementally over time. Now, to close on fiscal 2014 as a whole, I would like to take a moment and take stock of the progress we have made on our Renew Blue priorities. First, after only one year, we have exceeded our Renew Blue cost reduction target of $725 million, delivering Renew Blue cost reductions totaling $765 million. Second, we have made progress in standardizing our top and bottom lines. Domestic comparable store sales for the year were virtually flat, domestic operating margin, however, was down 70 basis points. That’s compared to 130 basis points in the previous year. Again, excluding the impact of the increased mobile warranty expense, our cost savings and other operational improvements have materially offset our pricing and other Renew Blue investments.  Third, and very important to our future, we’ve enhanced how we serve our customers, and we’ve been building key foundational capabilities. Most notably, we have increased domestic online sales for the year by 20%, which significantly increased our price competitiveness, and have rolled out ship from store to more than 1,400 locations. We have opened 1,400 Samsung and 600 Windows stores within a store, and completed the first phase of our floor space optimization. We have increased our Net Promoter Score by more than 300 basis points, and we’ve relaunched our loyalty and credit card program. We’ve advanced the transformation of our ecommerce platform and customer database, and we have significantly strengthened our balance sheet to a renewed focus on our core business and a substantially more disciplined capital allocation process. So before I talk about the next phase of Renew Blue, I will now turn the call over to Sharon for additional color on our fourth quarter financial results.
Sharon McCollam: Thank you, and good morning everyone. Before I talk about our fourth quarter results versus last year, I’d like to talk about them versus the expectations we shared with you in our holiday sales press release. In the holiday sales press release, we said that we expected our fourth quarter operating margins to decline 175 to 180 basis points due to the intense pricing pressure in the holiday season. What we reported this morning was an operating margin decline of 120 basis points. This 55 to 60 basis point favorability, all in the month of January of course, was primarily driven by an overall less promotional retail environment, stronger than expected participation from our vendors in the support of our price investments, and tighter expense management. I’ll now talk about the fourth quarter versus last year. Enterprise revenue declined 3% to $14.5 billion. Enterprise non-GAAP diluted EPS declined to $1.24 versus $1.47 last year. This decline was primarily driven by a significant investment in price competitiveness, the negative impact associated with our mobile warranty and new credit card economics, and a lower gross margin in mobile due to the lower attachment rates on mobile service plans. These declines, however were substantially offset by a $0.15 per diluted share favorable income tax resolution in fiscal ’14 that did not occur in fiscal ’13, the favorable impact of our Renew Blue cost reduction initiatives, tighter expense management throughout the company, and lower incentive compensation. Domestic revenue of $12.3 billion declined 1.8% versus last year. This decline was primarily driven by a comparable store sales decline of 1.2%, but excluding a 30 basis point impact from the rationalization of noncore businesses and an additional 30 basis point impact from the services related profit sharing payment that occurred in January ’13 but did not occur in January fiscal ’14, domestic comparable store sales would have declined approximately 0.6%. From a merchandising perspective, growth in computing, appliances, and gaming was more than offset by declines in other categories including digital imaging, movies, and home theater. The domestic online channels delivered strong growth during the quarter as comparable store sales increased 25.8% to $1.6 billion. This increase was driven by a higher average order value, improved inventory availability supported by ship from store and the expansion of our online distribution network, increased traffic, and higher conversion on both our core and mobile sites. As a percentage of total domestic revenue, online sales increased 270 basis points to 12.7% from 10% last year. As we expect this online mix shift to continue, it is important to recall from Hubert’s earlier comments that the profitability of the online channel today is lower than our retail stores. Over time, though, through a series of initiatives to improve online attach rates and strategic pricing, we do expect online profitability to gradually and incrementally improve. But in the short term, it will remain under pressure due to the investments necessary to achieve these outcomes as well as to significantly improve the customer experience. In international, revenue declined 9.6% to $2.2 billion. This decrease was primarily driven by the negative impact of foreign exchange fluctuations, the loss of revenue from large format store closures in Canada and China, and a comparable store sales decline of 1.7% driven by declining industry trends in Canada and Mexico. Turning now to gross profit, the enterprise gross profit rate for the fourth quarter was 20.2% versus 22.3% last year, a decline of 210 basis points. The domestic gross profit rate declined 230 basis points to 20% versus 22.3% last year. Excluding the 30 basis point impact from the periodic profit sharing payment that we just discussed, the domestic gross profit rate declined 200 basis points. This decline was primarily driven by the 125 basis point incremental year over year investment in structural and promotional pricing, a 40 basis point negative impact associated with the new credit card agreement, a 35 basis point negative impact from the increased mobile warranty costs, and a lower gross margin in mobile, [unintelligible] lower attachment rates on mobile service plans. The attach was substantially offset, however, by the realization of [unintelligible] cost reduction and other supply chain cost containment initiatives. The international gross profit rate was 21.3% versus 22.3% last year. This 100 basis point decline was primarily driven by increased promotional activity and a mix shift into lower margin products in Canada. Now turning to SG&A, enterprise level non-GAAP SG&A was $2.3 billion, or 15.7% of revenue, versus 16.6% last year, a decline of over $200 million or 90 basis points. Non-GAAP domestic SG&A expenses declined approximately $150 million, or 90 basis points, to $1.9 billion, or 15.5% of revenue versus 16.4% of revenue last year. This 90 basis point rate decline was primarily driven by the realization of Renew Blue cost reduction initiatives, tighter expense management throughout the company, lower legal related expenses, and lower incentive compensation. These impacts was partially offset by Renew Blue investments in online growth and advertising. International non-GAAP SG&A expenses were $363 million, or 16.7% of revenue, versus 17.7% of revenue last year, a decline of over $62 million or 100 basis points. This decline was primarily driven by Renew Blue cost reductions and tighter expense management in Canada. Also during the fourth quarter, the company recorded pretax restructuring charges totaling $115 million, primarily related to severance charges associated with the optimization of the field and store operating models in the U.S. and Canada. The majority of this $150 million is expected to be paid in cash this year. The company also recorded $65 million of nonrestructuring asset impairment. These noncash impairments were primarily related to our U.S. stores, both big box and mobile. In light of these impairments and our continued focus on the evolving retail environment, we will continue to focus on optimizing the real estate portfolio over time. These restructuring and impairment charges are excluded from our non-GAAP results. I will now turn the call back over to Hubert to talk about our plans for 2015 and beyond.
Hubert Joly : Thank you, Sharon. I would now like to discuss our plans going forward. Our strategy is clear. It is to be the authority and destination for technology products and services. And as our transformation is a multiyear journey, and we are operating in an ever changing retail environment, we thought it was important today to share with you our Renew Blue roadmap over the next 24 months. During this time, we will continue to address three business imperatives. Number one, improving our operational performance, number two building foundational capabilities necessary to unlock future growth strategies, and number three, leveraging our unique assets to create significant differentiation that is meaningful for our customers and our vendors. Our roadmap for achieving these business imperatives is built around the following areas: merchandising, marketing, online, stores, supply chain, Geek Squad services, cost structure, and employee engagement. Let me cover each of these. Our first area is merchandising. Our goal is to create a compelling assortment online and in the stores, with a superior end to end customer experience that yields enhanced [unintelligible] returns. Our priorities in merchandising over the next 24 months are to develop compelling and differentiated strategies for key categories that make promoters out of customers and that leverage Best Buy’s competitive assets; to strengthen our vendor partnerships, including launching new vendor shopping experiences; to implement an enhanced online shopping experience for key categories and to continue to optimize space and shoppability in our stores as well as improving visual merchandising; expand our private label and branded exclusive product assortment; expand [unintelligible] in home and Magnolia design centers stores within a store, which are proving to provide a superior customer experience; and then of course optimizing returns, replacements, and damages through operational improvements [unintelligible] from store. And of course, we will continue to refine our pricing and promotional strategy. So that’s for merchandising. Next is marketing. Our goal here is to unlock growth opportunities by creating and effectively communicating new compelling value propositions for customers that go beyond price. Our priorities in marketing over the next 24 months include developing more targeted, more relevant, more personalized, digital customer communications for key touchpoints of the customer experience and shopping journey in support of our category strategy. The next is to implement programs for key buying occasions like gifting, life events and registry, and new movers. And it is to create greater engagement with customers through our loyalty program and our credit card offerings. Let me highlight here the opportunity we have related to developing a more relevant and personalized marketing approach. As you know, Best Buy has one of the biggest house files in retail. We have been working on a big data project called Athena that will enable a more targeted approach to customer marketing, based for example on past purchases, browse history, location, and demographics. With Athena in place, over time we will be able to shift more of our marketing effort to targeted email messages and offers. The next area is online. Our goal here is to continue to capture online share and serve the customers based on how, where, and when they want to be served. Our online priorities over the next 24 months are to further improve the online shopping experience by enhancing search, tools, recommendations, and product and price information to make it easier for customers to find and choose products. It is to encourage customers to complete their technology solutions by improving the presentation and messaging of accessories and services that enable customers to build their own bundle. It is to leverage our expanded supply chain capabilities to provide superior fulfillment solutions. It is to continue to reengineer our ecommerce technology platform so that new features and functions can develop quickly and optimize across platforms. The fourth area is our retail stores. Our ability to transform Best Buy is of course highly dependent on our ability to transform our in-store experience. To that end, we are evolving our sales organization based on what we see as the mission of retail, which is, number one, the maniacal execution of category and functional strategies, number two, the development and implementation of effective market level strategies that take into account local specificities, and number three, the ability to lift our performance in terms of employee engagement, customer satisfaction, sales, and profitability. To do this, we’re making significant changes to the field and store structure. We are organizing retail around the stores and making the stores fully accountable for their performance under the leadership of the store general managers. We’re designing the structure above stores to support the general managers and their teams by providing both strategies that are readily executable and the tools and support necessary to execute them, and we are organizing around key markets with the goal of having a winning strategy for each of these markets. And finally, we are ensuring that any investment we make is customer facing and adds value while minimizing indirect spend. What we expect from these changes is a high level of performance. In addition, our customers will see concrete changes in the stores stemming from our collaboration with key vendors, which we started last year, and the improvements in visual merchandising we mentioned earlier, as well as better tools made available to our sales consultants and customers. The fifth area is supply chain. Our supply chain is a competitive advantage. It is driven by a powerful network of strategically located distribution centers and now with ship from store, our national retail footprint with shipping capabilities. Our goal over the next 24 months is to leverage this network and improve our customer experience by providing, number one, increased inventory availability, number two, improved speed to customer, and number three, improved home delivery and installation capabilities for our large [cube] assortments. To achieve this, we will continue to invest in systems and infrastructure to drive significantly enhanced delivery options. One example that has proven to be transformational is ship from store. In the fourth quarter, even in its early stages and with limited deployment, ship from store enabled significant online growth, improved online conversion, and increased store comps. Now that we have ship from store across our full store chain, in the first half of this year we will be able to use our over 1,400 stores and eight well located distribution centers to improve speed to customer, enabling faster delivery of online purchases at lower cost to Best Buy. In fact, we’ve recently reduced the delivery window promise to customers by two full days, and we will also begin adding returns and open box items that are sitting in our stores to our online inventory. Along with the clear customer experience benefit, this capability will accelerate our online growth and provide us a major opportunity to further reduce the over $400 million we lose each year from returned products. Our next priority focuses on Geek Squad services. The Geek Squad is one of Best Buy’s biggest competitive advantages, and yet, at the same time, it is an underutilized asset. Our goal for the Geek Squad is to deliver an amazing and lasting customer experience while providing a key revenue and profit growth engine for the company. Our goals for Geek Squad over the next 24 months are the following. Number one, to continue to reduce our legacy cost structure to help fund our price competitiveness. Number two, to improve our service delivery and the service experience we provide to our customers. Number three, it is to refine existing service offerings like our extended warranty services. Number four is to improve the merchandising of our services. And number five is to build new offerings that meet the needs of customers in the context of today’s technology environment. The next area is our cost structure. Our goal here is to more quickly and deeply reduce our costs. We announced this morning that we have eliminated a total of $765 million in annualized costs out of the original $725 million North American opportunity. We are now increasing our target from $725 million to $1 billion, and these additional cost reductions will be coming primarily from returns replacements and damages, logistics and supply chain, and procurement. And of course we will continue to rationalize our organization, and as we have done in the past, we will report on these savings when they have been executed. One key opportunity worth highlighting is returns, replacements, and damages, which are approximately 10% of revenue and are costing the company over $400 million a year in P&L losses. We feel confident that we can meaningfully reduce these losses. Actions we are taking include making this inventory more visible and easily purchased by customers by leveraging store clearance areas, [unintelligible], and ship from store. Also, improving the shopping experience for buying online clearance items through better site design, assortment, and clearance pricing, by expanding clearance pricing to more core categories and to open box products. Finally, let me talk about a key foundational area of focus for us, which is employee engagement. Across the company, we must have a passionate commitment to serving our customers in such an extraordinary manner that they become promoters of Best Buy. Key to achieving this goal is the talent and engagement of our people. In line with this, we’ll be pursuing the following key initiatives over the next 24 months. Number one, successfully implementing our new field and store operating model. Number two, strengthening our talent in the critical areas of ecommerce and targeted, personalized marketing. Number three, enhancing our performance management process by streamlining the number of metrics and aligning team objectives across the company. And number four, redefining key business processes to better support our multichannel customer focused strategy. Now let me say one word about international before I conclude. In our international business, we will continue to focus on improving our performance. Largely as a part of our renewable initiatives, we reduced international SG&A by 12% in fiscal 2014. In the first quarter of this year, we have taken significant further actions to reduce Canada’s cost structure. So in summary, while our transformation is off to an encouraging start, it is still in its early stages. During fiscal 2014, we began the strong foundational work that will allow us to begin improving our performance and quite frankly we continue to be very excited by our concrete operational improvement opportunities. And of course, all of these initiatives we discussed today are in the pursuit of our long term non-GAAP target of 5% to 6% operating margin and 13% to 15% return on invested capital. Let me now turn the call back over to Sharon for more comments about our financial outlook.
Sharon McCollam : Thank you, Hubert. In fiscal ’15, as Hubert shared with you, we are focused on three imperatives to drive our Renew Blue transformation: improving our operational performance including more quickly and more deeply reducing our costs, building foundational capabilities necessary to unlock future growth strategies which will require incremental investment, and leveraging our unique assets like our customer database to create significant differentiation that is meaningful for our customers and our vendors. With each of these imperatives that Hubert outlined comes year over year financial change, both positive and negative, and we know that modeling such changes absent additional information in a transformation like ours is extremely difficult. Therefore, as we have done in the past several quarters, we are providing you today with our quarterly estimates of how these discrete financial impacts will affect our quarterly operating income rates for 2015. These financial impacts continue to include the following business drivers: the negative impact of ongoing pricing investments, the negative impact of our incremental Renew Blue SG&A investments, the temporary negative impact of our mobile warranty costs, the negative impact of the economics of our new credit card agreement, and the offsetting positive impact of the realization of Renew Blue cost savings, which now total $765 million on an annualized basis. In our Q3 fiscal ’14 earnings release, we quantify the net year over year impact of these drivers to the operating income rate by quarter, as follows: negative 60 to 90 basis points in Q1 fiscal ’15, negative 70 to 100 basis points in Q2 fiscal ’15, and negative 30 to 60 basis points in Q3 fiscal ’15. Today, due to a higher than expected negative impact from the economics of the new credit card agreement, and the incremental year over year pricing investments, we are now expecting the net impact of these drivers to be a negative 70 to 90 basis points in Q1 fiscal ’15. But for Q2 and Q3 fiscal ’15, we have good news, because due to the timing of the benefits associated with the greater Renew Blue cost savings that we discussed this morning, we will be able to significantly offset the impact of the negative P&L drivers that we provided in Q3 for those quarters. We will also have discrete year over year impact related to income tax in fiscal ’15. In Q1 fiscal ’15, we expect to reorganize certain foreign legal entities to simplify our overall structure. This reorganization will accelerate a noncash tax benefit of approximately $0.87 to $1.01 per diluted share. Due to its materiality, this benefit will be treated as a non-GAAP adjustment. In prior years, this benefit has been historically recognized, though, on a periodic basis. So as a result of this acceleration, the company will have a higher quarterly income tax expense and income tax rate going forward on both a GAAP and non-GAAP basis. For tax purposes, this benefit will continue to be amortized. In addition, there are other discrete year over year income tax related items that we also expect will have a negative impact on the fiscal ’15 income tax expense and the fiscal ’15 income tax rate. We estimate the combined diluted EPS impact of these discrete income tax related items on both a GAAP and a non-GAAP basis to be as follows: negative $0.03 to $0.04 in Q1 fiscal ’15, flat to positive $0.01 in Q2 fiscal ’15, flat to negative $0.01 in Q3 fiscal ’15, and negative $0.09 to $0.10 in Q4 fiscal ’15. From a revenue perspective, in light of overall economic concerns, we are assuming that the industry declines in the consumer electronics category that we saw in the fourth quarter will continue. As a result, it is reasonable to expect that total company revenue and comparable store sales will remain slightly negative, similar to Q4 fiscal ’14 in the first half of the year. But it’s important to note that while it appears that our comparable store sales actually declined in January, in fact they were actually slightly better than the holiday. But due to the 30 basis point profit sharing payment that occurred in fiscal ’13 that did not occur in fiscal ’14, it appears that the cost was down, but in fact it was in line. Thank you, and with that, I’m going to turn the call back over to the operator for Q&A. 
Operator: [Operator instructions.] Our first question is from the line of Michael Lasser with UBS.
Michael Lasser - UBS : I was hoping to get a little more clarity on what’s driving your expectation for the industry to be down in the first half of the year, and then how that translates to your comp performance. You have been taking share, so why wouldn’t we necessarily believe that share gains could offset a difficult environment?
Hubert Joly : As we go to expectations, we’ve seen the industry trends in Q4. We also see, and many retailers are reporting [unintelligible] on this, an environment with economic uncertainty, retail challenges. And of course, in consumer electronics, a lot of the market is dependent on new product introductions, and so until you know what the products are going to be, it’s hard to predict. So we find it’s appropriate for us to be planning in a relatively proven fashion, if you will, that the market will not turn - until we see evidence that it turns, we should assume it will not turn - and focus on, as we have done in Q4, on what we can control. And so therefore the comment that Sharon made at the end of her observations that we are not planning positive comps during the first half of the year, though we won’t complain if the comps turn positive, but in our planning. And therefore, you highlight everything we’ve said about more deeply, more quickly reducing the costs, improving our operational performance, driving the efficiencies, [unintelligible] the foundations for our future in store growth. So we’re focusing on what we can control and approaching the year in a prudent fashion. It’s more a planning assumption than a true forecast, if you will. 
Michael Lasser - UBS : What is the spread between the profitability of the online business and the store-based business now? If you could give some quantification of it? And how long do you think it will take to close that gap?
Sharon McCollam : We’re not going to quantify that. We think it’s highly competitive, I think you would agree, as we compete with some of the giants. But what I would say is that what we expect is gradual and incremental improvement. And as you can see on the cost side, once we get the Athena project up and running, productivity of email and other aspects of online, sea changes in performance. So I won’t reiterate all of the initiatives we had online, but when you look at those and you look at how they will benefit conversion. The other area that is significant for us in the online channel is attach rate. And right now we just launched the ability to attach services. That’s a new capability that we brought on in Q4. But there is so much that needs to be done there, because you know that in our business, hardware comes at very low margins, and to improve the margin it’s about the basket. So we have to be able, online, to compel the customer to fill out that hardware purchase with different services, accessories, etc. So those are the big opportunities for us online, but as you look at our investments, this is going to be gradual and incremental, and quite frankly, there’s only one direction that we would expect it to be going. It’s a multiyear journey, for sure. There is a distance between these two numbers today, and that’s why there’s so much opportunity.
Operator: And our next question is from David Magee from SunTrust.
David Magee - SunTrust : I have a question about the shops in the shops in 2013 and during the holiday. Net-net, how happy are you with the performance of those shops, and could we expect to see additional shops in 2014?
Hubert Joly : The way we evaluate the shops in the shops is what the customers think, what the vendors think, and what we see. The customers have been very happy with the shopping experience, which is really transformational, very helpful. I think the vendors, I don’t want to speak for them, maybe you can ask them directly, but let’s say I think they’re quite happy. And for us, the way we measure the aggregate performance increasingly is in the overall performance of the company, and it’s definitely having a positive contribution. So while we’re not making specific announcements today in our good tradition of talking about things once they are in place, you can expect more and better of the same in this fiscal year. 
Operator: And our next question is from Aram Rubinson with Wolfe Research. 
Aram Rubinson - Wolfe Research : Your online business was up 25%. Your retail business was down 5%. I think some of the historical definitions of retail, looking at things on a per square foot or per store basis, are getting a little bit archaic. Can you talk to us a little bit about the behavior of your customer and how your revenue per active customer is looking, and if your online initiatives are making new customers, or just kind of preventing existing ones from defecting?
Hubert Joly : You’re absolutely right that thinking about the two channels independently makes no sense anymore, even though technically you can track where the transaction is completed. What we see is the [unintelligible] of our shopping experience is online. Customers start their shopping experience online. And that’s why our strategic investments in the online shopping experience both with traffic and the experience on the site is fundamental. It’s fundamental to our online business, and to our store business. So throughout the company, it’s online first. The way our merchants are now thinking about the overall strategy, they spend so much time on that path, and improving the shopping experience. Of course, there’s no blue shirt on the site, so you have to expand the shoppability of the site. Now, whether or not the transaction gets completed on the site, for us, is a little bit irrelevant. This is up to the customer. We don’t have a bias. Even though the economics in the short term are different, we don’t have a bias. We’re so incredibly customer focused, and so we drive this based on what the customer wants to do. And I don’t know, Sharon, if there’s anything you want to add to this.
Sharon McCollam : No, I think also that when you look at the competitive advantage that we have, realistically we have a store within 15 minutes of the U.S. population. So when you think about that, and you think about the online channels being the window into our business, the one thing that our online competitors cannot do is give it to them now, at this moment. And there are some abilities out there that are being developed, but if I want control of my purchase, we have a [moat] that makes it very easy for the customer to be served where and when they want to be served. The interesting fact about that, which Hubert alluded to, is that today a very high percentage of our online sales actually are customers that picked the inventory up in our stores. And we love that, because that gives us the opportunity to interact with the customer, that gives us the opportunity to continue to build that personal relationship with the customer, and going forward we see that as a tremendous competitive advantage as we continue to get better and better at it. And we’re making some very significant investments in that area so that the customer has a completely seamless experience as they go through the entire process. 
Aram Rubinson - Wolfe Research : I appreciate that. I’m also curious if you guys have a way of measuring whether or not you’re attracting new customers with these initiatives, or whether we’re kind of preventing customers from defecting the channel.
Hubert Joly : I’m sorry. I knew I was not completely answering your question. It’s both. A significant portion of our growth is coming from new customers, and one of our key opportunities, by the way, as a company, is to expand our presence and become the preferred brand for the Millennial population. We do extremely well with the Boomers, I think we have opportunities with the Millennials, and our online push is going to be very helpful from that standpoint. And of course online is a way to expand the relationship with existing customers. So it’s really both, and we’ll continue to push in these areas. But I’ll highlight some of the opportunities we have: attract new customers, expand the relationship with existing customers, and expand our share of wallet as we look at the various buying opportunities they have. 
Sharon McCollam : And we saw that in the fourth quarter. In Hubert’s remarks, he talked about the fact that we relaunched My Best Buy and the credit card. We saw a significant number of new members doing My Best Buy. In addition to that, we saw a higher penetration of customers using our financing and our credit card. So again, engaging that customer and putting our arms around then so that long term, when they look to where they want to buy their consumer electronics, they will choose Best Buy.
Hubert Joly : In fact, I would like to highlight one thing. One thing that’s very gratifying, both for the quarter and the year, is to see how customers are responding. Because we’re gaining market share, so that’s clear. And while the top line comps are slightly down, of course it’s after the effects of deflation. From a transaction standpoint, customers are voting with their feet, both online and in aggregate, and giving us more of their business. So the combination of enhanced price competitiveness and improved customer experience, resulting in these gains, shows the strength of the Best Buy franchise and the foundations, the platform we have for growth looking ahead. That’s very, very important. 
Operator: And next is Mike Baker with Deutsche Bank.
Mike Baker - Deutsche Bank : Can you discuss the promotion activity currently? What has changed since the holidays? It sounds to me, and correct me if I’m wrong, that the holidays just got extremely brutal and promotional and maybe things are more normal now. And so how do we therefore then think about gross margin trends for 2015 relative to that decline that you saw in the fourth quarter?
Sharon McCollam : In my prepared remarks, I mentioned that in January we saw a less promotional environment. So once we exited the holiday, while it is still more promotional than a year ago from a cadence through the quarter point of view, we clearly saw the promotional environment be mitigated. As we look forward to 2015, obviously in the forecasts or the estimates that I gave you, one of those investments is pricing. And on a year over year basis, as you know, from Q1 to Q2 to Q3 to Q4, we had two pieces of our pricing. One is structural, and then one is the competitive side of it, and price matching, etc. So as we progress through 2015, in Q1 as an example, all the investments we made in Q2, Q3, and Q4 were not in Q1 last year. So in Q1 we’re seeing the biggest impact, and then it starts to mitigate in Q2, and then in Q3 it mitigates again. And then of course our perspective, as Hubert said, is that we believe that even in an equal environment of promotional cadence next holiday, we believe that based on the tools and the marketing and the capabilities that we’re building this year that our marketing effectiveness is going to be substantially better, and that when we go into the fourth quarter, even in that kind of an environment, we would see a much better margin outcome. So that’s how we’re thinking about it for 2015. 
Operator: Next we have Gary Balter with Credit Suisse.
Gary Balter - Credit Suisse : You went into Christmas kind of prepared, and then Walmart and Amazon and Target and everybody else went crazy. As we go into next Christmas, what do you envision will have changed? Will you have more vendor support? Will there be better control over UPC? How do you envision Christmas happening? Because it seems like every year we hit that point and people go whacko on pricing.
Hubert Joly : A key thing that we are working on is we continue to improve capabilities of the foundational elements that I was talking about. Let me highlight a few. One is our marketing and promotional effectiveness. The ability for us to communicate to our customers in a relevant and more personalized fashion, we think, as we develop it gradually, is going to be helpful compared to blast emails only talking about price. So we think that’s the first one. The second thing is that continued improvements of the shopping experience. Those, as I think Sharon and I highlighted, are how on the site we are going to continue to make these improvements. Similarly, the shopping experience in the stores. So our strategy is to be price competitive and to build meaningful customer differentiation in terms of the unique value propositions we can offer to them as well as how we talk to them about this. So these are new capabilities that we are developing and that we think are going to be helpful. Are we’re planning the year with the assumption that all of a sudden the wolves are going to become sheep? No, of course not. And we’re going to continue to be in there ready to compete and so forth. It is possible that what happened during holiday, the players, the industry, will be, you used the word “crazy”, I’m not going to say our competitors are crazy, but the intensity may go down. But we’ll focus again on what we can control, which is what we do for our customers, how we talk to them, and then of course our efficiencies.
Sharon McCollam : And then I’d just like to add to that that there’s a couple of other things that we did this year that we, because of the timing of our transformation, when Hubert came in, etc., a lot of these things got launched in October, right before the holiday season. So take My Best Buy, the launch of the new credit card, some of the ecommerce capabilities. We put new buying guides on the website. There was a litany of things that we did. Obviously, when you do that you are putting in new capability, you are learning from those capabilities, and a year down the road is like a lifetime. So all of these programs, all of this investment, which was substantial, as you know, you can see our capex, that going into 2015 holiday we are going to have a lot more experience in that. The other area that Hubert alluded to was pricing. We are investing in pricing capabilities this year. He’s said from the day he started that we’ve had a very underdeveloped pricing, modeling capability in the company. So when you start working on those things, they make a substantial difference, and we will continue to invest in those all year. They’ll get better and better, and by the time we get into holiday, we think that we’ll be able to put all of those together and come to market and to our customer in a substantially more compelling way.
Operator: And next is David Schick with Stifel. 
David Schick - Stifel: I’d like to go back to online. Your online sales have accelerated quite nicely, 10% up into the teens. It even looks like the accelerated from holiday to the full quarter. So out of the holiday. How much of that is just the way consumers are thinking and interacting with Best Buy, the way you talked about prior, or how much of that is new capabilities you’re turning on and/or anything you’re doing with compensation for store associates or measurement regarding the online trend?
Hubert Joly : I think you’re absolutely right to note the acceleration. And we hope to continue to accelerate the acceleration. And we have to wait now. I think because [unintelligible] we’re gaining share online, which of course is our goal. We have some catching up to do. So this is the result of more traffic going to the site, and we are doing a better job converting that traffic, both on the site and then in the stores. So to take some examples of the latter meaning, the new capabilities, that’s [unintelligible] ship from store. We had highlighted how, in the past, a portion of the traffic on the site, looking for a product, the product was not available in the online distribution centers, but was available in the stores. The unlocking of ship from store, up to 400 stores doing [unintelligible], now all of the stores, has allowed us to accelerate the online growth in a significant fashion. Our in store pickup capabilities are a very strong competitive advantage. It’s roughly half of the online purchases that are picked up in the store, showing how meaningful our stores are as an asset. And please know that at Best Buy the store general managers and their teams are compensated not only on the brick and mortar revenue, but on the holistic revenue, and clearly with all of our stores now involving ship from store, they completely get it. And increasingly, the focus in the store, same as online, is the product is not available in the store, how can I get it to you? From another store? From our DC? And not available is not part of our vocabulary, and finding an answer is always part of our vocabulary. So I think we are appealing to new customers, and gradually, we’re doing a better job of responding to our customers.
Sharon McCollam : Another very important aspect of that, especially in holiday this year, was the implementation of a new search engine on our website. Earlier last year we talked to you about the fact that the search engine that was operating on the site was nearly 10 years old. And customers were coming to the site and they were searching for products and of course the search engine was not robust enough for them to find what they were looking for. And when customers are trained by companies like Google, I type it in and it shows up, that’s what they expect. And they’re not going to type very many times until they get bored and walk away. The new search engine is state of the art technology and these search engines get smarter over time. Again, this gets into the discussion of the fact that we launched it right before holiday and again, it’s getting better and better as we move forward. But during holiday, the new search engine certainly made a substantial difference as well, another investment that we made that made a big difference. 
Operator: And our final question comes from David Strasser with Janney Capital Markets.
David Strasser - Janney Capital Markets : One question around pricing optimization, I guess. You had talked about that in the past. Is there an opportunity there as you go into this year? Where does that play into sort of what you’ve talked about? And I guess along those lines, during the call you had mentioned vendor support, and I was just sort of curious if you could give a little bit more detail how that vendor support changed from December to January and helped the gross margin from what you had seen over holiday and sort of how that happened?
Hubert Joly : So price optimization, our strategy is to be price competitive, and we will continue to invest in that, as we’ve done last year. But of course you can be smart about it. And pricing is a very sophisticated science, so I would highlight a couple of areas to think about. One is marketing and promotional effectiveness. I don’t know any company in the world that doesn’t have opportunities in this area, and believe me, we do. So making sure that the promotions we do have the right return on investment. It’s back to relevant communication to the customers of how we talk to them, to whom, when, and how. And then there’s also tactical optimization. I don’t want to go into too much detail, but there’s more optimization really at the regional level, and so forth. As it relates to vendors, I’m not going to give a lot of color around this, but one of the key assets that has always struck me ever since I joined the company is how important Best Buy is for key vendors and [unintelligible] to their success. And so our teams work closely with them. There were some dialogs after the holidays, and there was good contribution, as is always the case. There was nothing extraordinary, but until it’s in the bank, you don’t necessarily bank on it. And so we’ll continue to work with our vendor partners to optimize the business for the customers, for themselves, and for ourselves. So it was part of the surprise that changed our expectations as it relates to the EPS for the quarter.
David Strasser - Janney Capital Markets : Any thoughts on buybacks? I know you’ve kind of gone back and forth on that last year. Any further thoughts when you look at your cash balance and cash flow and stuff about this year and buyback?
Sharon McCollam : We’re going to continue to evaluate our cash balance, obviously. Hubert and I believe deeply that putting a [fortress] on this balance sheet is really important. Obviously we know what bumps in the road look like, but we also know that over time there is a level of cash that makes sense and is a fortress and then there’s the time when you exceed that. At this point, we are very comfortable with where we’re sitting on our balance sheet and we’ll be talking about this over the next 12 months. But at this time, we do not have any plans on a share buyback.
Operator: Thank you. I’ll now turn the call back to Hubert for closing comments.